Operator: Good morning, ladies and gentlemen, and welcome to Orla Mining's Conference Call for the Fourth Quarter and Year-End 2023 Results. My name is Sarah, and I will be your conference operator today. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please be advised that this call is being recorded. I would like to turn the meeting over to Andrew Bradbury, Vice President, Investor Relations and Corporate Development. Please go ahead, Mr. Bradbury.
Andrew Bradbury: Thank you, operator, and welcome to Orla's fourth quarter and year-end 2023 results conference call. We will be making forward-looking statements during today's call, and I direct you to the first and second slide of this presentation, which contains important cautionary notes regarding these forward-looking statements. All dollar amounts discussed today will refer to U.S. dollars, unless otherwise indicated. The Orla executive team is on the call this morning, and I will now pass the call to Jason Simpson, President and CEO, who will walk you through our fourth quarter and 2023 highlights.
Jason Simpson: Thanks, Andrew. Our fourth quarter highlights include: Continued strong performance at Camino Rojo on safety, environmental management, operations and costs. As a result, we exceeded our increased production guidance and achieved the reduced annual all-in sustaining cost guidance. The low-cost and consistent operation of Camino Rojo generated industry-leading margins and cash flows strengthened our balance sheet and Orla is now in a net cash position. We are actively advancing our exploration and development portfolio in Mexico and Nevada, and you will have seen positive drill results released throughout the first quarter from our 2023 campaign. Exploration is a key component of our growth, and Sylvain Guerard, our Senior Vice President, Exploration, will walk you through some of the team's results. Andrew Cormier, our Chief Operating Officer, will update you on the permitting work in Nevada. We recently announced the acquisition of Contact Gold, the owner of the Pony Creek property, neighboring our land package in Nevada. This strategic transaction strengthens our land position, immediately adds gold ounces to our resource inventory, and illustrates our conviction in Nevada. South Railroad will be a tremendous next project for Orla. We are disappointed with the recent events in Panama as it relates to mining and investment. Despite making progress earlier in the year with the receipt of our environmental permits at Cerro Quema, in November 2023, the Panamanian government passed Law 407 imposing a moratorium on granting, renewing, or extending concessions for metal mining in Panama, which they apply to our concession renewals for the Cerro Quema project. We are exploring legal remedies to protect our historical investments as we monitor the upcoming elections in Panama. Etienne Morin, Orla's Chief Financial Officer, will describe the accounting treatment applied to 2023 for this matter. We have the executive team on the call to provide specific updates, and now I'll hand it over to Andrew Cormier, our Chief Operating Officer, for a fourth quarter operational update.
Andrew Cormier: Thank you, Jason. The fourth quarter was marked by continued strong mining and processing performances at Camino Rojo. We did this while maintaining the health and safety of our team. We mined nearly 1.9 million tonnes of ore at a strip ratio of 0.43. The average gold grade of ore processed during the fourth quarter was 0.73 grams of gold per tonne. We also achieved an average stacking rate of 18,998 tonnes per day. The mined ore tonnes and grade are reconciling well to the block model and process recoveries remain in line with the metallurgical recovery model. During the second half of 2023, we initiated a program to test the impact of reducing the crusher product size from a P80 of 28 millimeters to 23 millimeters. The initial results of this test program are positive, and we are seeing higher gold recoveries from the heap leach. The testing will continue in 2024 to quantify the positive impact that reduced crusher size has on the various ore types. Gold production in the fourth quarter was another record, with 34,484 ounces of gold poured. As a result, we exceeded the increased 2023 production guidance range of 110,000 to 120,000 ounces of gold with a total of 121,877 ounces of gold forward for the year. We are carrying the strong momentum from 2023 into the first quarter of 2024 and the operations continue to perform consistently and to plan. In terms of permitting, we are continuing to work through permitting delays in Mexico. Our operating team continue to adjust our mine plan and are maintaining the tonnes and grade feeding the operation. We are hopeful that the new administration, which takes office midyear, will be more encouraging of mining investment. In Nevada, our South Railroad project development and permitting continue to advance. Under the prescribed Bureau of Land Management approach, we have submitted 17 of 19 supplemental environmental reports, of which 14 have been reviewed. The supplemental environmental reports will be used in the environmental impact study process that we expect to continue through 2025. Additionally, we have advanced our strategies for sage grouse habitat restoration and water rights, which require -- which BLM requires as part of the EIS process. We will continue this work through permitting in 2025, ideally allowing construction through 2026 and production in 2027. Based on this timeline, we expect to begin engineering and optimization and updating estimates in 2025. Etienne Morin, our Chief Financial Officer, will now discuss the financial results for the quarter.
Etienne Morin: Thanks, Andrew. During the quarter, we sold 31,000 ounces of gold at a realized price of $1,974 per ounce, resulting in $63 million in revenue for the period. As Jason mentioned, as a result of the passing of Law 407 and subsequent cancellation of the mining concession at our Cerro Quema project in Panama, we recognized an impairment charge of $72.4 million in our financial statements for the year ended December 31, 2023. The remaining carrying value of the asset relates to land ownership that we own in Panama. As a result of the impairment, our net loss for the period was $58.4 million, but after adjusting for the impairment, unrealized foreign exchange loss and other small items, adjusted net earnings was $15.7 million or $0.05 per share. It should be noted that during the quarter, we expensed about $9 million in exploration and project costs as we continue to advance our growth pipeline in Mexico and in Nevada. All-in sustaining costs for the fourth quarter was $802 per ounce, resulting in a full year 2023 all-in sustaining costs of $736 per ounce, well within our annual guidance range of $700 to $800 per ounce, and retaining our position as one of the lowest-cost gold mine globally. Total capital expenditures in the fourth quarter were $6.7 million, of which key capital items included the work on the stockpile dome and costs related to the Phase 2 extension of the heap leach pad. Of that $6.9 million, $3.3 million and nearly half related to capitalized exploration. Total capital expenditures for the full year added up to $20.9 million, of which $12.7 million, or approximately 60%, related to capitalized exploration. Cash flow from operating activities before changes in non-cash working capital was $24.7 million or $0.08 per share for the quarter. During the quarter, we made the final payment of $22.8 million to Fresnillo as part of the layback agreement. As this payment is treated as an investment, it had an impact on free cash flow for the quarter, which was negative $8.2 million. As outlined on this chart, we've continued to pay down our debt, increase our financial flexibility and strengthened our balance sheet. In 2023, we repaid nearly $60 million in debt, including the final payment to Fresnillo and $25 million towards repayment of our credit facility. We also amended our credit facility to $150 million revolving facility, which now extends to 2027 and provides increased flexibility as well as lower cost of capital. Our current outstanding debt balance at year-end was $88 million, resulting in becoming net cash positive by year-end. While we no longer have mandatory quarterly repayments, we'll look to further repay our debt outstanding in 2024. The last point to note is that in 2023, we began making monthly tax installments in Mexico. In total, we paid $29 million throughout 2023, and therefore, won't have a large tax payment due at the end of this month related to income tax as we did last year. However, the special mining duty and the extraordinary mining duty in Mexico is only payable once a year, and we expect that amount to be approximately $10.5 million, which will be paid at the end of this month, so within Q1. And with that, I'll pass the call back to Jason.
Jason Simpson: Thank you, Etienne. As a recap for 2023, we exceeded our increased 2023 production guidance at industry-leading all-in sustaining cost. Our strong cash margins allowed us to repay nearly $60 million in debt, increasing our cash and liquidity, while investing extensively in exploration and growth projects across our portfolio. We will carry that momentum into 2024. We are consistently guiding to 110,000 to 120,000 ounces of production at all-in sustaining costs of $875 to $975 per ounce of gold sold. The increased all-in sustaining cost over 2023 was due primarily to increased waste movement, sustaining CapEx and maintenance costs and some price inflation. Sustaining capital expenditures included the planned heap leach expansion for the first half of the year, pit well expansion and some capitalized exploration. In 2023, we also ramped up our exploration efforts, which we are continuing this year and Sylvain Guerard, our Senior Vice President of Exploration will walk you through an update.
Sylvain Guerard: Thank you, Jason. In the fourth quarter, we advanced the Camino Rojo sulphide deposit and exploration at South Railroad in Nevada. 2023 exploration was highly positive at both sites. And in early 2024, we issued five press releases related to Camino Rojo oxide, sulphide infill and extension programs, along with two releases on the South Railroad project and its extension onto Pony Creek through the acquisition of Contact Gold. Additional results from South Railroad will be released shortly. At Camino Rojo, we confirm mineralization extending to the north over the layback area and on the edge of the open pit. Guided by the positive drill results from 2023, follow-up drilling will occur in the first part of 2024 to assess the shallow oxide potential on the southeast extension of the open pit with the intentions to increase ounces at the high-margin Camino Rojo Oxide mine. In the sulphide deposit, our third phase of infill drilling totaling about 35,000 meter aim to refine the geological model, including the distribution of vein sets controlling higher grade zones of mineralization. Underground resources estimation work is ongoing with completion targeted by the second half of 2024. Historical and recent drilling beneath the resource limit of intersected polymetallic semi-massive to massive sulphide replacement mineralization, which differs from the sulphide vein in the current resource area. This discovery motivated us to execute a drill section nearly 500 meter down plunge from the resource limit. Encouraging drill intersections from this drilling indicates that the large Camino Rojo deposit is still open, offering significant upside potential. In addition, initial metallurgical studies on two representative samples of the new mineralization style have returned positive results. 30,000 meters drilling in 2024 is dedicated to the Camino Rojo extension. The regional exploration program will also continue with new targets defined in 2023 expected to be explored starting in early Q2. In Nevada, 2023 drilling at South Railroad outside our projected oxide open pit at Pinion and Dark Star both intersected significant mineralization, indicating the potential to add oxide mineralization and potentially grow the resources. At Dark Star, high-grade oxide mineralization representing potential feeder type structure was intersected, including 20 meter at 5.2 gram per tonne gold, part of a 37-meter intersection drilling 3.5 gram per tonne gold. At North Bullion, Carlin-type sulphide deposit infill drilling was completed with the objectives of providing material for metallurgical testing, refining geological model and supporting the upgrade of an inferred mineral resources. Results from drilling at North Bullion and other targets will be released shortly. We are also expanding our land position to the south with the announced acquisition of Contact Gold, the owner of the Pony Creek property. The geology and soil geochemical [indiscernible] extended to Pony Creek, which also holds three mineralized zones contributing to a mixed resource containing oxide transition and sulphide material totaling close to 400,000 inferred gold ounces. In 2024, 15,000 meter of drilling was initially planned at South Railroad with focus on extending the mineralization outside project at open pits, following up on 2023 results at satellite deposit and testing new targets for discoveries. Assuming a successful closing of the Contact Gold acquisition in the second quarter, we will anticipate drilling an additional 7,000 meter at Pony Creek property. This drilling will result in an additional $3 million in 2024 Nevada exploration. This will also bring the global planned program for the extended South Railroad property to over 22,000 meters of drilling. Overall, 2023 was an excellent year with highly positive results supporting resource growth potential, and defining the path to new discoveries at our site. We have an exciting exploration program well underway in early 2024. This work will further advance our exploration and project initiative in Mexico and Nevada. I will now pass the call to Chafika Eddine.
Chafika Eddine: Thank you, Sylvain. 2023 was a productive year for our sustainability efforts. We maintained an impeccable record of zero community-related and labor-related incidents throughout 2023. Our flagship asset Camino Rojo notably cemented our engaging relationship with our employees by successfully negotiating a new agreement with the employee union and delivering on our commitment to fostering positive relations with our workforce. We take pride in being the preferred choice for talented individuals, including in the regions where we operate. Nearly half of our direct employees are sourced from our local communities and approximately 30% of our contractors are recruited from areas directly influenced by our operations. In an industry where the average percentage of female representation is from 8% to 17%, we celebrate the fact that overall, among our four locations, women make 31% of our direct workforce. Furthermore, our voluntary turnover ratio continues to improve year-over-year, a testament to our positive work environment, something we will keep monitoring closely. In 2023, we launched Orla's inaugural Sustainability Report and we are currently in the process of compiling our ESG performance data for our next report. Through the assessment, evaluation and disclosure of our ESG performance, we reaffirm our dedication to our guiding principle of transforming resources into a net positive benefit for all stakeholders. In 2023, we also established three initiatives for sustainable community development with multi-stakeholder partnerships in Mexico, including one for fauna and flora conservation and land regeneration. In 2024, we are committed to enhancing our reporting on environmental, social and governance performance as we further integrate sustainability principles across our sites and communities. Our proactive and transparent approach is reflected in our dedication to continually improving our positive environmental and social influence aligning with evolving industry standards and ensuring an open communication with our stakeholders. I'll pass the call back to Jason.
Jason Simpson: Thank you, Chafika. Our business continues to get stronger quarter over quarter, with the operations exceeding targets and our exploration and project development outlining pathways to growth. 2023 was a successful year for Orla and 2024 is off to a strong start. I would like to thank our team who remain steadfast in their commitment to Orla's strategic objectives of creating value for our shareholders. It is my great pleasure to share this call with my executive team who've outlined our great results of the past and our plans for the future. At this point, I'd like to open the call to questions and hand the call back to the operator.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Ovais Habib with Scotiabank. Your line is open.
Ovais Habib: Hi, Jason and Orla team. Congrats to you and your team on a strong 2023. Just a couple of questions from me, Jason. Starting off with, Camino Rojo, obviously, I'm sure you are disappointed that the permits have not been received for the pit pushback, but also good to hear that 2024 guidance does not get impacted. Jason, what's the cutoff point that you think you need to have the permits by -- so not to impact 2025 production?
Jason Simpson: Yeah. So, ideally, the permits will be approved early in this next administration enabling us to eliminate any gold impact, not only in 2024, but we predict the impact could be very modest in 2025 as well, Ovais. Backing up a bit, I think for the benefit of the call, I'll mention that we've been pursuing these permits since we achieved the layback agreement in 2021. And yes, we're disappointed that the permitting timelines for all companies in Mexico have exceeded the historical norms under this administration. And these permits will maximize the benefit produced from Camino Rojo over the long term and we need to receive them in the short term to enable the necessary waste delivery.
Ovais Habib: Thanks for the color, Jason. And then just follow-up on that. I mean, I'm glad you have that confidence in terms of the second -- the next administration coming through with these permits. But is there some sort of a backup plan, Jason, just in case these permits get delayed into 2025, or is that not a worry right now on your end?
Jason Simpson: No. There is -- I would offer backup plans, which we're implementing now to make sure that impact of production is not -- there's no impact production in 2024 and 2025. And that's through a function of sequencing the benches differently and sinking deeper into what we would call the constrained pit. So, we can do that over the coming years. But as you can appreciate, in order to get the fully expanded Camino Rojo Oxide pit that we envisioned via the layback agreement towards the end of mine life, we need the permits to expand to that larger envelope. And we'd like to be able to do a consistent stripping over the years leading towards the end of mine life, so that there's no cash impact year-over-year.
Ovais Habib: And then, Jason, just -- thanks for that. But, Jason, and my last question to you is, in regards to the 2024, all-in sustaining cost number, or guidance, obviously, there was plans for these pit pushbacks to take place. Now since things are getting delayed, are you -- I mean, is there a chance that the ASIC guidance gets revised downwards based on how much you can spend this year, or will you still stick with that ASIC guidance?
Jason Simpson: Yeah, I think there is some cost reduction if we strip less than 100% of the waste that we have budgeted. But through that re-sequencing that we -- that I just described, Ovais, we believe that we're going to be able to strip over 80% of the rock that we had planned. It won't come necessarily from the unpermitted layback area, but it will come from other sources. So, as I mentioned earlier, certainly for the gold production, but also the rock production, we'd re-sequence things via establishing an unplanned ramp within the pit to enable us to still move the rock ahead of time as well as maintain gold production. So, we're going to be striving to achieve our budgeted and guided waste and ore movement levels throughout 2024, and the waste movement levels throughout 2024 is what enables us to be confident that we can mitigate impacts to 2025.
Ovais Habib: Got it. That's it for me, Jason. Thanks for taking my questions, and great color. Thank you.
Jason Simpson: Thanks, Ovais.
Operator: Your next question comes from the line of Andrew Mikitchook, my apologies, BMO Capital Markets. Your line is open.
Andrew Mikitchook: Hi, Jason. Congrats to you and the team for a great quarter. It was always a very comprehensive presentation here. So, just kind of one question. Can we revisit this reduced crusher size or crushing size effort that you're doing in terms of exactly what's happening? And conceptually what would that mean to either costs and/or throughputs, if this actually occurs?
Jason Simpson: Yeah. Thanks, Andrew. I'll introduce the response, but I've got Andrew Cormier here across from me that he can give some additional color to the great work that his team has been doing there. He has explained to me that it is in fact a changing in sizing through screen replacement rather than adjustments to the crusher, but I'll let him get into that detail. One of the things that he and I discussed when we were pursuing this was the ability to maintain the production performance that we've seen over the past two years at Camino Rojo exceeding nameplate and that 19,000 tonne per day stacking rate that we've been able to maintain. And what he has demonstrated since starting that pilot project is that not only has he been able to increase recoveries through the lower sizing, but also maintain the throughput. One of the risks that we had to consider was as we process a smaller size, would that negatively impact our throughput abilities, and that hasn't been the case. So, this is early days, but tremendously good news. I'll ask Andrew Cormier to give you some specifics on what the project is and the results it's delivering.
Andrew Cormier: Good morning, Andrew. Yeah. As Jason referred, we were modifying the circuit starting in August of last year, which reduced the screen size to the crushing circuit. And in doing that, we had a finer crusher size. And that's all been achieved without reducing nameplate capacity or above nameplate capacity of 19,000 tonnes per day. What we've been seeing in the heap leach, as you can appreciate, it's a 90-day leach cycle. So, it takes some time to be able to confirm these planned trials for improvements, but we are seeing positive gold and silver recoveries. And we would expect that later in the first half of this year that we'd be able to quantify that. And if there's any revision to guidance, we would provide that at that time. But all indications now is that this initiative has been very positive on gold and silver recoveries without reducing the throughput capacity of 19,000 tonnes a day.
Andrew Mikitchook: And just because I wasn't writing as quickly as it might have been, what was the change in screen size? It was, like, 23 millimeters to 26 millimeters or 26 millimeters to 23 millimeters. Just I didn't write that down.
Andrew Cormier: Yeah. It's 27 millimeters to 23 millimeters. So, reducing the size of the particles that pass through that size.
Andrew Mikitchook: Okay. Thank you very much. I'll sign off, and let others ask questions.
Jason Simpson: Thanks, Andrew.
Operator: Your next question comes from the line of Arun Lamba with TD Securities. Your line is open.
Arun Lamba: Good morning, guys. Just a couple of small ones for me. Just in terms of 2024 guidance and production, I know last year, you kind of had every quarter was better than the last with Q4 kind of being the highest. What should we think about in terms of 2024? Is it kind of expect equally weighted, second-half weighted, just in terms of somewhat quarterly production guidance, if you can give some color?
Jason Simpson: Yeah. We'll provide a bit of color. We clearly, Arun, don't provide quarterly production guidance. But yes, we recognize the sequence of production last year. I'll have Andrew pull up sort of some quarterly color on grade. Clearly, recovery would be the same. But I would offer that we have a pretty consistent grade profile throughout the year. We would expect a consistent now-improved recovery above the feasibility expected levels. And what we have to weave into that in our guidance is consideration of bench sequencing, consideration of seasons and so on. And we try to consider all of that in a way that has us achieve guidance and -- to the expectations of market. If we have more positive things happened throughout the year than negative, then we'll increase the guidance as we've done over the past two years. But if there are a balance of positive and negative things throughout the year, we would still expect to achieve our guidance. That's how we model our guidance. Any color, Andrew, on the quarterly -- without giving quarterly guidance, the quarterly sort of expectations for the broader market?
Andrew Cormier: Good morning, Arun. Yeah, so what we can say about our expected quarterly performance is that it will be flat and consistent with our annual guidance that we've provided.
Jason Simpson: Yeah. I think in some operations, Arun, certainly you'd cover and I've been familiar with, there is a clear distinction based on grade or otherwise sequencing in those operations where they may have to guide that second half could be stronger than the first. In our case, I would expect a reasonably consistent production profile across Camino Rojo. It is one of those types of ore bodies where we can just consistently produce at the low cost that we've indicated and harvest the expected amount of cash.
Arun Lamba: Great. That's very helpful. And then, let's just move to Nevada quickly. Expectations are, I mean the BLM to file the notice of intent in 2024, and then hopefully, the record decision final permits for construction in 2025. Just wondering when should we expect kind of an updated study to kind of reflect the Orla standard to build SRP. I'm thinking it would probably be in 2025, but maybe some color on the timing of when you guys would put out kind of a new feasibility study for SRP?
Jason Simpson: Yeah, you're exactly right in the timing, Arun. So, we would look to gauge where we are in the permitting process and everything. If everything is -- remains on schedule and we can see sort of within six months of record of decision, that's when we would make sure that we're ramping up our construction engineering and optimizational offer, because as we've communicated, we would make some changes to the feasibilities -- 2021 feasibility study -- actually, sorry, 2022 feasibility study done by GSV, including consideration of crushing, and a variety of other optimizations that we've identified that we would likely embed in our engineering process. So yes, we are --- currently based on the permitting timelines that we're striving for, anticipate that midyear 2025 will be working away at optimizing and updating the construction engineering. That will go hand in hand with updated estimates and quotes from suppliers and contractors. This is the exact same playbook that we followed in constructing Camino Rojo, so that we can update the market in 2025 of what Orla is going to build, how much it's going to cost to build it, how long we expect to take to build it, and hence, establish our report card for the construction program through 2026. So, that's why you can expect all of those updates.
Arun Lamba: Great. And just the last one really quickly. It's probably more high level, but recently noticed in the market, obviously, Fairfax increased their position. They appear to be your largest shareholder now. Maybe any relationship that you kind of have with them? And anything you could provide on that, obviously, high level in general?
Jason Simpson: Yes, certainly. We're very grateful to have Prem Watsa as now our largest shareholder, and he has been a fantastic supporter of the company. As he described in a recent meeting with him, he's interested in finding companies that have good assets, run by strong management teams that want to grow value, and he's in it for the long term. So that's exactly how he characterized his investment thesis. So, we're grateful for that. The relationship was established through Pierre Lassonde and Kiril Sokoloff. So, as we know, Pierre Lassonde is one of the founders of the company and has been supportive of the company throughout the past six years. So, Orla was introduced to Kiril Sokoloff and Prem Watsa, strong investors across a variety of investments, I think everybody is familiar with Fairfax, and they have a point of view about gold. And I think what we can all appreciate the decoupling of gold equities in relation to the gold price. And they see tremendous value in gold equities if they select the right companies, and fortunately for us, Prem believes that Orla is the right company.
Arun Lamba: Great. Thanks so much, Jason. Congrats on the clean quarter. And I'll end my questions there. Thank you.
Jason Simpson: Thanks, Arun.
Operator: [Operator Instructions] Your next question comes from the line of Stephen Soock with Stifel. Your line is open.
Stephen Soock: Hi, Jason and team. Again, congrats on another very solid quarter, very profitable quarter. I was just wondering if you could provide a little color on how you're able to control costs so well. It looks like unit cost kind of beat expectations here when so many of your peers in Mexico were struggling with both FX headwinds and inflation in country. Could you just give us a little insight into what your magic sauce is there? Thanks.
Jason Simpson: Sure. Once again, I'll start the answer and then hand it over to the guy who is controlling the costs, Andrew Cormier. First thing I'd like to acknowledge is that the particular mine characteristics of Camino Rojo, very low strip ratio, open pit, heap leach, and very flat terrain, frankly, is the type of mine that is going to have low cost. So, all we can take credit for there is we knew that and elected to build this high-margin mine first as the foundation for the company. Now, of course, we've -- as we built it through the pandemic and saw the inflationary pressures post pandemic, we've had to walk the same roads that other companies have had to do as well. We did increase our salaries for our employees in Mexico. So, we have, if we want to call it, some inflation in labor costs through our CBA negotiation. They are seeing higher costs in their household and hence, the company is helping to provide better payments to aid families in Mexico. But in terms of the other operating costs outside of labor, things like the agent, suppliers and services, Andrew and his team have done a good job in working with our suppliers and contractors that, frankly, the inflation cost has been de minimis. And Andrew, any other color on your cost containment in Mexico?
Andrew Cormier: Sure. Good morning, Stephen. Yeah, as Jason said, we have the same inflationary cost on labor as everyone else. However, on the reagents and commodities, being a fairly new mining entity, when we first started our supply contracts, we were unknown. So, the pricing might not have been as good as, say, some of our peers at the time. And as we've demonstrated our capabilities not only operationally but financially with those vendors, we've actually been seeing our pricing hold or dropping through to the last two years of operation. So, what that's resulted in is some of those upward cost pressures that others might be seeing in these commodities, we're actually seeing a hold or lower unit costs on those. And that's a testament to the negotiating of our procurement department at our site.
Stephen Soock: Great. Thanks. It answers that. Well, I appreciate it. And that's it for me. I'll open the line to someone else.
Jason Simpson: Thanks very much for the question.
Operator: This concludes the question-and-answer session. I'll turn the call to Jason Simpson for closing remarks.
Jason Simpson: Thank you, operator. Since there are no further questions, I would like to thank you for your time. Never hesitate to reach out to Orla should you have any follow-up questions, we're available.
Operator: This concludes today's conference call. We thank you for joining. You may now disconnect your lines.